Operator: Good day, ladies and gentlemen, and welcome to the Evertz Q1 2021 Conference Call. As a reminder, today's conference is being recorded. It is Wednesday, September 9, 2020. At this time, I would like to turn the conference over to Mr. Brian Campbell, Executive Vice President of Business Development. Please go ahead, Mr. Campbell.
Brian Campbell: Thank you, Jonathan. Good afternoon, everyone, and welcome to the Evertz Technologies Limited conference call for our fiscal 2021 first quarter ended July 31, 2020, with Doug Moore, Evertz' Chief Financial Officer; and myself, Brian Campbell. Please note that our financial press release and MD&A will be available on SEDAR. Doug and I will comment on the financial results and then open the call to your questions. Before delving into our recent business results and outlook, I'd like to briefly address the extraordinary COVID pandemic. The pandemic has created headwinds and significant challenges, delaying customer deliveries, installations, and impacting customer operations around the globe. That said, our customers are fundamentally healthy and Evertz has a unique and powerful technology position. Evertz is a technical innovator, and fundamentally sound business committed to protecting our people and supporting our customers. We're proud of the role we play as an essential service provider and critical supplier, enabling vital communications, telecommunications, broadcast and new media and services worldwide. We are appreciative of the continuing strong partnerships with our customers and for the extraordinary efforts made by our employees in these challenging times. Turning now to Evertz results, I'd like to begin by providing a few notes and then Doug will go into greater detail. First off, sales for the first quarter fiscal 2021 were $56.3 million down as compared to a 103.4 million for the first quarter last year. Our sales base remains well diversified with the top 10 customers accounting for approximately 44% of sales during the quarter, and with no single customer over 9%. In fact, we had 91 customer orders of over $200,000. Gross Margin in the quarter was 32.2 million or 57.2%. Investments in research and development totaled 16.6 million, net of 6.7 million in wage subsidies, further reinforcing Evertz commitment to R&D despite these challenging times. Net earnings for the first quarter were $0.6 million and fully diluted earnings per share were $0.01 in the quarter. Evertz working capital was approximately 218.8 million with 102 million in cash as of July 31, 2020. The purchase order backlog at the end of August was in excess of $118 million, a record high, and shipments during the month were $36 million. Today Evertz Board of Directors has declared a quarterly dividend of $0.09 per share payable on September 18, 2020. I will now hand over to Doug Moore, Evertz's Chief Financial Officer to cover results in greater detail.
Doug Moore: Thank you, Brian. Good afternoon everyone. Sales were 56.3 million in the first quarter of fiscal 2021 compared 103.4 million in the first quarter of fiscal 2020, the decrease of 47.1 million. The U.S. Canadian region had sales for the quarter of 35.9 million compared to 74 million last year, a decrease of 51%. International region had sales for the quarter of 20.4 million compared to 29.4 million last year, a decrease of 31%. The decrease of revenues was due to widespread customer shutdowns, travel restrictions, and projects on hold as a result of the COVID-19 pandemic. Gross margin for the first quarter was approximately 57.2% consistent with 57.2% in the prior year, while the gross margin was adversely impacted by low manufacturing volumes offsetting, the negative impacts was 3.6 million of wage-related government assistance, which is recorded as a reduction of salary costs within cost to sales. Selling and administrative expenses were $11.9 million for the first quarter as compared to 16.3 million in the same period last year. Selling and administrative expenses as a percentage of revenue was 21.2% compared to 15.8% in the same period last year. The decrease in expenses was driven by $1.9 million reduction in travel promotion costs associated with reduced selling activities and travel restrictions associated with the COVID-19 pandemic. Selling and administrative expenses also included 1.3 million in wage subsidies that was recorded as a reduction in the costs in the quarter. Research and development expenses were 16.6 million for the first quarter, which represents the 6.1 million or 27% decrease from the first quarter last year. Decrease is predominantly result of 6.7 million of wage subsidies recorded as a reduction in cost in the quarter. Foreign exchange loss was 3.1 million as compared to a foreign exchange loss in the prior year of 1.8 million. The loss was predominantly a result of the decrease in the value of the U.S. dollar as that July 31, 2021, when compared to April 30th, 2020. Turning to discussion of the liquidity of the Company, cash as of July 31, 2020 was 102 million as compared to 75 million as of April 30, 2020. Working capital was 218.8 million at July 31, 2020 compared to 223 million as of April 30, 2020. The Company generated cash and operations of 36.3 million, which is gross of a 32.2 million change in non-cash working capital and current taxes in the first quarter. The effects of the change in non-cash working capital taxes were excluded from the calculation. The Company generated 4.1 million in cash from operations. The Company acquired 1.8 million capital assets. The Company used cash from financing activities of 8.3 million, which predominantly consisted of the payment of dividends of $6.9 million. Shares outstanding were approximately 76.4 million in options of standing were approximately 5.6 million as of July 31, 2020. Weighted average shares outstanding and weighted average fully diluted shares outstanding were both 76.4 million for the quarter ended July 31, 2020. This brings to a conclusion, the review of our financial results, and position for the first quarter. Finally, I would like to remind you that some of the statements presented today are forward looking subject to a number of risks and uncertainties and we refer you to the risk factors described in our annual information form and the official reports filed with the Canadian Securities Commission. Brian, back to you.
Brian Campbell: Thank you, Doug. Jonathan, we're now ready to open the call to questions.
Operator: [Operator Instructions] We'll take our first question from Thanos Moschopoulos of BMO Capital Markets.
Thanos Moschopoulos: Hi, good afternoon. Brian, can you part more color in terms of the current environment and what you're seeing? I mean, obviously, the quarter was quite weak, although your, August shipments showed a nice rebounds, I guess, almost a pre COVID levels. How did the environment progress throughout the course of the quarter? What are you seeing currently? And to what extent are you still being hampered by maybe challenges in deploying orders that you might have in hand, but that you can't actually fulfill because customer sites are shut down?
Brian Campbell: So, Thanos, yes, we're definitely still encountering challenges, getting access onsite to customer premises and deploying new solutions. So we are, as a central service provider, we're crossing borders, delivering to customers, but that is definitely hampered by the various jurisdictions, whatever state they are in their role regarding sheltering in place, quarantines and such. We do continue to ramp up as you can see, shipments were quite strong in August compared to prior months. So, that's very encouraging. So, yes, the Q1 results were definitely impacted by our ability to get onsite and deliver. You can see that also has resulted in a record high order backlog as well too. So, solid shipments in September is encouraging, and the record high backlog does speak for itself in terms of orders, but also is impacted by our delay and postponement in delivery whether that's our ability to get access on site or the customers delaying those projects themselves.
Thanos Moschopoulos: So, if we look at the August shipments number might you be able to repeat that performance in September, October, November, or was there anything unique about August that you'd highlight that might make that more challenging to repeat that performance?
Brian Campbell: So, we're continuing to get greater access to customer premises, as the COVID restrictions relax in regions. But again too, we're very dependent on what those restrictions are in the various geographies. Our sales team is continuing to do a great job of fulfilling customers' needs in terms of selling solutions to them. Some of those include on our view anywhere in conjunction with our MAGNUM solution, which enables our customers to be able to have operational control from anywhere. So whether that's workers at home or it can be in other rooms in their own, in their facility. But we're really trying to enable our customers build these to operate in a very flexible manner in today's environment than going forward.
Thanos Moschopoulos: Are there urgent issues or is that pretty much under control as far as things like component availability?
Brian Campbell: Our purchasing department has done an excellent job in stocking, keeping stock and dealing with any kind of supply chain vulnerabilities. There's nothing material to comment in that regard.
Thanos Moschopoulos: Okay. And then from an OpEx perspective should we expect a similar amount of government stimulus to reoccur in the upcoming quarter? Or how should we think about that dynamic?
Brian Campbell: No, you should not forecast it straight across like that. So, the majority of the government system is indeed the CEWS, the Canadian wage subsidy plan. That is the government scaling that back through the coming months through. Now, I think it's not a linear calculation, but I would expect it to be substantially decreased. I can't give an exact percentage, but half as much would be a reasonable as opposed to the current amount.
Thanos Moschopoulos: And finally, would you say that headcount was -- was head count relatively stable in the quarter versus the prior quarter? Or has it been a significant change there?
Brian Campbell: No, I think the Canadian wage subsidy plan really did what it was supposed to do and their headcounts has remained relatively consistent.
Operator: Thank you. We'll take our next question from Robert Young of Canaccord Genuity.
Robert Young: Have you seen any order cancellations? I think you talked about order maybe delays or have you seen anything canceled? Have you been un-booking any backlog?
Brian Campbell: So, Robert, order cancellation is a fact of life. So, in every quarter, we will have few, not many order cancellations. But, no, there's nothing significant as you can tell from, candidly. It's a record high backlog and that with our shipments at $154 million total. It's as high as it's been. So, we're seeing good solid customer demand and no exceptional cancellation practice.
Robert Young: Okay. And then if you were to look at the challenges in the quarter, logistics and site access versus demand dynamics, I mean, which one would have been the bigger challenge?
Brian Campbell: Its site access would be the biggest challenge that we've had and it's, ourselves, our customers, our ability to go on sites with us when we're deploying and commissioning systems. And candidly, on the logistics too, depending on the activity we've got, folks quarantining upon return, in some areas people have to test in advance of going onsite or in the extreme cases they quarantine in a way in and out, let's say return. So, we definitely have logistic challenges that we're working through.
Robert Young: Great. So from where you stand, it sounds as though the orders there is not any of the normal cancellation and what you're seeing is demand, or you're just seeing orders pushed out. But you don't have a good sense of visibility into when some of the push outs might start to move again, it's all dependent on regional rules. Is that a good way to summarize it?
Brian Campbell: Yes, it's dependent on the jurisdiction where we are on delivering that can be country, state or cities as well too have different roles. We have significant and major deployments underway and they're continuing, and we're staffing them up to the best of our abilities and ensuring the safety of our staff and customers.
Robert Young: Okay. And then the metrics that you shared at the beginning of the call around the composition of the sales, the percentage related to top 10, the largest customer, and then the customer orders over 200,000. Those all seem to be relatively strong metrics. And so, I'm trying to understand, how to put that into context with the weak top line on the 91 customer orders over 200,000 is particularly strong. And so, is there a group of larger customers that's doing relatively better? And then, there's a long-tail of smaller customers that you're having more of an issue with. Is there anything that you can call out related to those metrics that would be a good insight?
Brian Campbell: So, what you would look at is, with the border restrictions and access to premises during the front end of the first quarter definitely impacted the revenue numbers. You saw on last quarter, the first month shipment was very low and that increased, but not dramatically during the next two months, while we are sitting here with a record backlog. So, some of that is reflected in our ability to be able to get on premise or to deploy, whether it's the customer's ability to commission or our ability to execute in those jurisdictions, but those two things go hand and glove. So, we are currently sitting today with a record backlog and a very solid August shipment date. Now, the environment from August to September has been pretty consistent. So, we are in an improved situation, but it's, that's dependent upon the restrictions, the more they relax, the better our ability is to execute on all fronts.
Robert Young: Right. And so, if the environment gets a little more easier, if logistics are easier and freedom to operate is better than you'd expect that, maybe there's a little bit of pent up demand that you would have not been able to take advantage of this quarter that might catch up in the next several months, but there's no way to tell that that's, you don't have a lot of visibility though?
Brian Campbell: That's correct. Yes, we're doing our utmost to deliver in the jurisdictions where we have the capability to do so. And that does involve cross border travel, and in some instances, we're definitely doing our utmost again to deliver and commission solutions remotely. And so, extensive activity back at headquarters to pre-commission solutions, so that they're more easily deployed on site by the system integrators or the customers. But oftentimes, we have to send our own staff in as well to, to do onsite commissioning for larger systems.
Robert Young: Okay. And then last question for me, I mean, last year 20% operating margins despite the more challenge finished and so, looking forward into fiscal '21 here. Are there any margin targets that you have for the year? I mean, would you be in the event that there's a wage subsidy slowed down? Would you look at headcount, like, what is our target margin? And how would you maintain that, if you do have one that'll pass along?
Brian Campbell: So, in terms of target margin that's more along the lines of our gross margin, and we're well within her 56% to 60% target gross margin range. You can see with the foreign exchange loss rather than gain and the subsidies that were a little over $4 million operating profit. And that's at a significantly reduced revenue rate. And so, it's 56 million revenue for the quarter, and as you're aware, our first month shipment in August is 36 million. So, we've got a good start to Q2.
Operator: Thank you. We'll take our next question from Boyang Li with RBC Capital Markets.
Boyang Li: Thanks, guys. So, in terms of your conversations with clients, has demand across different products change from pre-COVID, particularly longer term deployment projects? So has there been a shift in terms of what clients are asking for in terms of kind of longer term strategic deployments?
Doug Moore: The long-term strategic deployments have not changed to any large extent and we're doing very well with our software defined networking, IP-based solutions and virtualization. Our DreamCatcher IP-based instant replay and BRAVO live production suite. So, those are all big long-term drivers to the market. In the short-term, what we definitely saw where folks looking to access our view anywhere capability to enable their staff to work very effectively from home. So, that was more of a short-term shift.
Boyang Li: So, that maybe it sounds like the long-term competitive dynamics or competitive environment like it hasn't changed too much, right?
Brian Campbell: Our long-term competitive position is very strong technologically.
Boyang Li: And then maybe the last question from me is. In terms of -- how do we think in terms of M&A? I recall last call you guys mentioned you're receiving some inbound calls. Has that increased, decreased or changed at all?
Brian Campbell: There's still a significant flow of inbound calls, and we are looking at opportunities, and we have a very strong balance sheet cash position and that gives us the flexibility to entertain opportunities.
Operator: Thank you. At this time, there are no further questions in the queue. I will like to turn the floor back over to Mr. Brian Campbell for closing remarks.
Brian Campbell: Thank you, Jonathan. I'd like to thank the participants for their questions and briefly recap the Company's performance during the first quarter of fiscal 2021, which saw total sales of 56 million in gross margins of 57.2% in the quarter, which together with Evertz disciplined expense management, yielded earnings of $0.01 per share inclusive of a 3 million foreign exchange loss in the quarter. At Evertz, we're an essential service provider and we've met or exceeded all government health and safety protocols to ensure continue operations including manufacturing, research, and development activities, and the provision of technical services and support to our customers. While widespread temporary customer shut downs, travel restrictions, and the postponement or cancellation of live events and projects present short-term challenges, we believe Evertz will emerge for the pandemic very well positioned with our technological leadership and fundamental operational strength. We're entering the second quarter of fiscal 2021 with significant momentum fueled by a record high combined purchase order backlog plus latest month shipment totaling in excess of 154 million up 40% sequentially from our prior quarter. The financial strength and flexibility of a pristine debt-free balance sheet was over 102 million in cash, and by the growing adoption and successful large scale deployments of Evertz IP-based software defined video, networking, virtualized cloud solutions, DreamCatcher IP-based instant replay and BRAVO live production suite, all by some of the largest broadcast, new media and service provider companies in the industry. With Evertz significant long-term investments in these software defined IP, IT virtualized cloud technologies and our leading deployments and the capabilities of our staff, Evertz is poised to build upon our leadership position in the broadcast and media technology sector. Thank you and we will look forward to having many of you join us on the 7th of October at our annual general meeting. Please note any changes to the meeting will be announced by way of press release. Good day.
Operator: Thank you. That concludes today's conference call. Thank you for your participation. You may now disconnect.